Operator: Good day and welcome to the SAIC Fiscal Year 2017 Q1 Earnings Conference Call. Today’s conference is being recorded. At this time, I’d like to turn the conference over to Paul Levi, Investor Relations. Please go ahead, sir.
Paul Levi: Good morning and thank you for joining us for SAIC’s first quarter fiscal year 2017 earnings call. This morning, we issued our earnings release. And joining me today to discuss our business and financial results are Tony Moraco, our CEO; and John Hartley, our CFO. Today’s call is being webcast at investors.saic.com where you will also find the earnings release and supplemental financial presentation slides to be utilized in conjunction with today’s call. Both of these documents, in addition to our Form 10-Q to be filed soon, should be utilized in evaluating our results and outlook along with information provided on today's call. Please note we may make forward-looking statements on today's call that are subject to known and unknown risks, and uncertainties that could cause actual results to differ materially from the statements made on this call. I refer you to our SEC filings for a discussion of these risks, including the risk factor section of our Annual Report on Form 10-K and Quarterly Reports on Form 10-Q. In addition, the statements represent our views as of today and subsequent events may cause our views to change. We may like to update the forward-looking statements at some point in the future, but we specifically disclaim any obligation to do so. It is now my pleasure to introduce our CEO, Tony Moraco.
Tony Moraco: Thank you, Paul and good morning. SAIC delivered solid results in the first quarter of fiscal year 2017 that reflect continued momentum with our business strategy and execution of our shareholder value proposition. First quarter revenue of approximately $1.2 billion reflects 12% total growth and 3% internal revenue contraction as compared to the prior year quarter. The internal revenue contraction is a result of decreased material volume on our supply chain contracts and reductions in our intelligence community portfolio due to delays in contract awards and transition of work to small business set aside contracts. Offsetting these impacts were increased revenues and newly awarded programs such as a FAA Controller Training, GSA Enterprise Operations or GEO and NASA LITES. It is encouraging that these new programs are in the process of ramping up and will continue to contribute to revenues in subsequent quarters. Adjusted EBITDA margin was 7.1% excluding acquisition integration related costs. This represents 70 basis points improvement in our margins from the prior year quarter. Adjusted diluted earnings per share was $0.80 for the first quarter and operating cash flow of $35 million provided continued confidence in our ability to execute our capital deployment strategy. These financial results combined with notable business development achievements over the last year have produced a solid foundation for the remainder of fiscal year 2017 and beyond. Our customer outlook is consistent with last quarter and demand for the SAIC expertise and capabilities remain strong. To that end, award activity of $1.3 billion in the first quarter translates to a book to bill of 1.0, demonstrating customer confidence in SAIC to assist them in their mission critical areas. First quarter bookings included many task order awards and contract modifications such as $190 million of aggregate award on our AMCOM EXPRESS vehicle. As we have previously mentioned, our army customer continues to execute their procurement strategy. And we've been successful in retaining work moving to alternative contract vehicles such as GSA OASIS. Our excellent program execution remains the underpinning of our protect strategy, to continue support for this important army customer regardless of contract vehicle. We were also successful in our Naval Sea Systems Command recompete award of $141 million task order to continue providing technical solutions in the areas of systems engineering and ship integration and testing. Additionally, we were awarded contracts for continued support to Naval Surface Warfare Center in Crane, Indiana with a $73 million award of task orders to provide engineering, technical and program management support services. SAIC's diverse portfolio and broad array of customers is enabled by our wide range of IDIQ contract vehicles. With greater than 80% of our revenues generated from test orders on IDIQ vehicles, our upfront investment to participate on these vehicles is vital. SAIC was successful in two new IDIQ contract vehicles that provide revenue growth opportunities. First, we are one of multiple awardees on a 10-year $5.8 billion human capital and training solutions contract by the General Services Administration and Office of Personnel Management. Second, we were selected to compete for task orders on $343 million IDIQ vehicle issued by the Naval Supply Systems Command to provide reengineering, development and personal computer simulation services. After the end of the quarter, we were successful on a key grow opportunity in the cyber domain. SAIC was awarded position on a $460 million multiple award USCYBERCOM IDIQ contract to provide a broad set of cyber related operations and capabilities. We expect this to be the primary contract vehicle used by USCYBERCOM in the coming years. As one of only six awardees, this award demonstrates SAIC’s ability to differentiate in the cyber security market. During our March call, I communicated that we won a $485 million recompete of our NASA EAST program that was protested shortly after award in January. The protest was resolved recently in our favor, and will contribute to second quarter bookings. To wrap up my comments on business development results, SAIC’s total contract backlog is $7.2 billion, essentially unchanged from the end of last quarter. Funded backlog for the first quarter is $2.1 billion, up 12% from the end of last quarter. The estimated value of SAIC’s submitted proposals awaiting award is over $15 billion, up $2 billion from last quarter. The programs contributing the most to this increase in submitted proposals are new a defense logistics agency industrial prime vendor contract to provide supply chain management support to the air force and a recompete of the Army’s information technology enterprise solutions contract. We are confident in realizing our fiscal year ‘17 goals to the strong bookings in the first quarter coupled with a high quality pipeline of expanded business opportunities. John, over to you to provide more details on our financial results.
John Hartley: Thank you, Tony, and good morning, everyone. I would like to remind you that our fiscal year 2017 is a 53-week year, which we experience every six years. This extra week occurred during our first quarter. Our first quarter revenues of approximately $1.2 billion represent 12% total revenue growth and 3% internal revenue contraction compared to the first quarter of last fiscal year, adjusted for the extra week. Total revenue growth is primarily attributable to the Scitor acquisition that was completed at the start of the second quarter last fiscal year. The internal revenue contraction for the quarter was primarily due to a recompete loss of a relatively low margin supply chain contract last fiscal year. This decrease was partially offset by revenues on newly awarded programs that Tony outlined earlier. Operating income of $66 million in the first quarter resulted in an operating margin of 5.4%, which was negatively impacted by $7 million of acquisition integration costs, that if excluded, results in adjusted operating margin of 6.0%. The first quarter acquisition integration costs were higher than previously estimated due primarily to increased facility lease exit costs. At this point, we expect an additional $3 million of acquisition integration costs in the second quarter. In addition, and not related to the acquisition integration costs, this adjusted operating margin included approximately $2 million of severance expense in the quarter, which negatively impacted profitability. For the first quarter, EBITDA as a percentage of revenues was 6.7%; and after adjusting for the integration related costs, adjusted EBITDA was 7.1%, up from 6.4% year-over-year. These results reflect strong contract performance across the portfolio and the inclusion of the higher margin intelligence community business. With strong contract performance expected for the year, we have confidence that we’ll be able to achieve our targeted margin improvement. Net income for the first quarter was $33 million and diluted earnings per share were $0.71 for the quarter. Excluding acquisition integration costs, adjusted diluted earnings per share was $0.80 for the quarter. The tax rate for the quarter was about 37%, and we expect this to be our normative tax rate going forward. Cash flow continues to be a strength of SAIC’s shareholder value proposition. SAIC generated operating cash flow of $35 million and free cash flow of $31 million in the first quarter. Days sales outstanding of 56 days is generally consistent with our normative operating range in the mid-50s. However, the current quarter DSOs were negatively impacted by about three days, as a result of the payment terms on the AAV contract that used an incremental $7 million of working capital during the quarter. We still expect the AAV impact to normalize by year-end, but should generally be replaced by similar working capital investment on the ACV contract. Additionally, first quarter cash flows was negatively impacted by the normal payment of our annual cash bonuses of about $25 million. The first quarter ended with the cash balance of $154 million, which is in line with our targeted average operating cash balance of $150 million. As a result of required debt payments and strong operating results, our total debt is now under $1.1 billion, equating to a leverage ratio of just under three times debt-to-adjusted bank EBITDA at the end of the first quarter. Accordingly, we are no longer limited to our credit agreement restrictions on share repurchases of $50 million per fiscal year. As we have stated several times before, we do not plan on accumulating cash above our $150 million average target, but rather we expect to deploy it to maximize shareholder value. During the first quarter, we deployed $59 million of capital, consisting of $14 million in cash dividends, $15 million of debt repayments and $30 million of share repurchases, representing about 622,000 shares. With the knowledge that the share repurchase restriction would be lifted upon reporting our first quarter financial results, we increased our daily pace of share repurchases during the quarter from about $330,000 to $670,000 with continued confidence in our cash flow generation and our desire to return capital to shareholders. This action was taken consistent with our expectation of paying FY17 dividend of about $55 million, making scheduled debt repayments of $54 million and using the remainder of our cash in excess of our desired average balance for other deployments such as share repurchases among other alternatives. With normalized annual free cash flow of $240 million plus the excess cash we had on hand at the end of the last fiscal year, the cash in excess over desired average balance for FY17 after dividends and debt repayment is estimated to be about a $150 million. As announced in our press release today, our Board of Directors has approved a quarterly dividend of $0.31 a share, payable on July 29th to shareholders of record on July 15th. That concludes my remarks on the first quarter, and I would like to reiterate our long-term financial targets. We have continued confidence in our ability to generate low-single-digit internal revenue growth annually, and profitability improvement of 10 to 20 basis points annually with a fiscal year ‘16 adjusted EBITDA baseline of 7.2%. In terms of cash generation, we continue to expect generation of about $240 million of free cash flow annually. As a reminder, FY17 will be negatively impacted by about $25 million due to the extra biweekly payroll payment due to the previously mentioned 53 weeks in fiscal year 2017, but this is not expected to impact our capital deployment activity. Tony, back to you for concluding remarks.
Tony Moraco: Thanks John. Let me comment on the ongoing search for a new CFO. We continue to make progress in the comprehensive CFO search and will issue a press release at the appropriate time. Lastly, we held our annual stockholder meeting and the proposals outlining our proxy statement were overwhelmingly approved by our stockholders. Thanks to all who attended the meeting as well as participated in the process. Operator, we are now ready to take your questions.
Operator: Thank you. [Operator Instructions] We’ll take our first question from Amit Singh from Jefferies.
Amit Singh: Hi guys. Thank you for taking my question, and great quarter. So, you provided the long-term outlook of low-single-digit organic growth, but as we are looking at -- and I know you don’t provide annual, specific annual guidance, but considering your recent strong bookings trend, is it safe to assume that even in this year you guys would be able to do this low-single-digit internal growth, especially considering the extra week this year?
John Hartley: Good question. We do believe we can achieve the low-single-digit revenue growth this year, and that would be excluding the extra week. So, everything that we report to you as far as the internal revenue growth or total growth, takes into account that extra week, so, it is comparable year-over-year.
Amit Singh: Okay. So you are saying low-single-digit even excluding that extra week?
John Hartley: That is correct.
Amit Singh: Okay. And if you could give little bit details on how much did Scitor generate in revenues this quarter; and off of that $88 million extra revenue, if you could break that down as well between and Scitor and organic? Basically what I’m trying to get to is what was the growth rate in your sort of ex Scitor business and the growth rate in Scitor business?
Tony Moraco: The businesses are pretty well integrated at this point. I think the performance to-date is very consistent with the prior quarter performance, as we've been reporting. We're not going to give out the specific relative components of that. The portfolio has been mixed, and shifted a bit to support our matrix operations. But we did state that the contraction is again consistent with what we saw from a year ago, attributed to the attrition that we experienced, and the loss of some particular positions within the contract dates. Contract activities around small business set asides with our customers where we had to flip and become a sub to some of the small business primes. That had some downward pressure. But overall, we're very confident in that portfolio growth. We had a good quarter in bookings and awards in the intelligence community portfolio. In fact, Q1 awards were above all of the three quarters in FY 2016. So, the synergies and the pipeline development that we started since the acquisition, I think have taken hold as we've said, taken about 12 months to come through. And our submitted proposals are also double over where we ended FY16. So, confident that will continue as we develop that portfolio in concert with the other businesses we run.
John Hartley: And regarding the $88 million for the extra week that is the total Company Scitor -- ex-Scitor business which again has been integrated, so, we can't track it exactly year-over-year. You can consider that makes up about 12% of our business. So, if you just take 12% of the 88 that would attribute how much of the extra week goes to Scitor?
Amit Singh: Great, and then just one last one for me on the lower volume of supply chain material sort of impacting your 1Q revenue by $41 million year-over-year. I think previously, you've provided a full year headwind guidance for $50 million to $100 million. Does that still remain the same for the full year?
John Hartley: Yes, that's pretty consistent with what see; it's still a little spotty on the supply chain. You get some surge now and then. But generally, that's what we see in the portfolio year-over-year in the supply chain variance.
Operator: Moving on, we will take our next question from Cai von Rumohr from Cowen & Company.
Cai von Rumohr: Yes, thanks so much and good quarter, guys. With the pickup in the bids outstanding and the NASA EAST win and some of those other contracts you indicated, could you give us some color on where the bookings -- book to bill might be here in this quarter?
Tony Moraco: In Q2?
Cai von Rumohr: Yes.
Tony Moraco: While we saw -- in Q1 book to bills were from a wide range of task orders. So that was good on a recurring flow without significant number of big ticket items. So, with NASA EAST showing up as a booking north of $400 million, in Q2 we expect pretty strong bookings. I don't have the numbers, Cai, to point to that, but confident that will come in that same range that we've been operating in, it fluctuates, again based on some of the bigger deals. But that’s the biggest one we’ve seen this quarter.
Cai von Rumohr: And then, so, if you’ve seen this nice pickup you alluded to in the Intel space, should we expect Scitor, and I am not asking for an exact number, but should we expect the Scitor legacy business to basically turn up here, may be in the second or third quarter?
Tony Moraco: Yes, expect, we're going to see the award activity again is dependent on that, the pipeline is strong; we're seeing cross-sell into the IC, into the intelligence community as well as outside to the other businesses. So, as we’ve said, I think we are going to see the performance, which has been quarter-to-quarter, pretty consistent; we'll start seeing those awards come in like our other portfolios. And it will contribute, as we’ve said, I think with the same low single-digit growth that we're seeing with the broad portfolio now reflected in the results through the course of the year.
Cai von Rumohr: And then turning to cash flow, it looks like payroll was a source. Usually you have fairly big payments in the first quarter. How come that changed and what are we looking there, I mean the 25 million that's going to -- when is all of that going to hit?
John Hartley: The $25 million in the first quarter was related to our annual bonus payment. And so, there was not an extra payroll in Q1. Now, it’s a little complicated when we get to Q2, Q3, and Q4. Year-over-year, Q2 does have an extra payroll in it, payroll payment; Q3 has one less payroll payment in it; Q4 has one more payroll payment in it. And so that's in essence where the extra payroll comes throughout the year. So, there was no extra payroll in Q1, one in Q2, one less in Q3 and one more in Q4. And that's about $30 million per payroll.
Cai von Rumohr: And then, your DSOs, they nudged up a little bit here. Do you think you can get them back down little below 55 again, or is it -- we're going to stay more or less in this range?
John Hartley: With the ACV coming in to replace AAV, mid-50s is probably reasonable. But, I wouldn’t be surprised to see it below 55 come the end of the year just through just strong cash collection.
Cai von Rumohr: And the last one is, you were pretty aggressive in buying shares in the quarter, and obviously you may have other things you are considering. How should I think about the way you approach repo now that things seem to be on a pretty stable course; should we expect fairly consistent repo? This is obviously unless you have an acquisition opportunity that comes up. So, every quarter you should be within $10 million or $15 million of $150 million or you are going to let it drift up and then buy more depending on where the stock price is?
John Hartley: I think it’s fair to expect absent other alternatives, a consistent repurchase throughout the remainder of the year.
Cai von Rumohr: Terrific, thank you very much. And John, congratulations, I think you’ve been a terrific CFO.
John Hartley: Thank you, Cai.
Operator: Moving on, we’ll take our next quarter from William Loomis with Stifel.
William Loomis: Hi, thank you. Good morning, good quarter. Just looking at the intelligence market, Scitor, obviously your awards are up in the quarter, and then, your submittals are up and you expect low single-digit growth on the Scitor business. Is that your performance in terms of the changes you've done at Scitor and the workforce stabilizing under new ownership or is there something also more positive going on at the customer base?
Tony Moraco: I’ll probably attribute it more to the collaboration between the two businesses and the expansion of the business development pipeline. Scitor has great presence in their organic capabilities, if you will. And I think both companies saw the opportunity in synergies to sell more services to that customer base. SAIC wanted access to that market so we could sell our services through. Things like cyber; CYBERCOM award is an example of some of those synergies where it's a partnership between the legacy businesses. So, I’d say, it’s most attributed to a broader view of a business development pipeline, how it's expanded, given the broad sense of what we can sell through the matrix as opposed to any major changes in customer acquisition behaviors. In fact, that probably creates more headwinds than tailwinds. But we have expanded our reach. We've reconciled any other market concerns; we've sustained the customer presence and confidence throughout the process and just look forward to delivering broader services.
William Loomis: And then on cash deployment, so, you are going to have consistent repurchases through the year, but are you still looking at larger acquisitions potentially as well? Would you have more of that cash going to debt paydowns? So, when you make an acquisition you can leverage back up to pay for it as opposed to having it go out the door in share buybacks or do you not expect to see any more larger acquisitions down the road, just smaller ones?
John Hartley: Yes, I’ll cover the capital deployment side of things. We don't at this time have any intention of prepaying the debt. We intend at this point in time to stick to the scheduled debt repayments that by the time we get to the expiration of the term loan A, which is just a couple years, we'll be at about book debt-to-EBITDA of about 2.5 times. I’ll let Tony comment on the likelihood of acquisitions.
Tony Moraco: As far as the M&A markets, as you know, there is a lot of market consolidations. I think a lot of businesses are trying to rationalize their portfolios at one end and others I think are trying to get another level of scale. I think we’re -- being one of the larger government service providers, don’t see the need further scale up the organization into dollars. We are still looking at opportunities in market access as we did with the intelligence business, whether it’s in broader federal civilian agencies or others. So, I don’t see the need for, as you said, large acquisitions or transformational, if they get to a new business condition, but rather market access and capability development to expand our services with our client base. So, we’ll look across the portfolios, see what makes sense for us, but I’d say, it’s again a constant look to something that’s more of a modest range versus something that’s large.
Operator: Moving on, we’ll take our next question from Jon Raviv from Citi.
Jon Raviv: Just following up on that question about M&A, just to confirm when you say not larger transformational rather market access; Scitor was market access, but would you still consider that a large one, such that going forward you don’t expect to spend another roughly $100 million on an acquisition again?
Tony Moraco: Yes, that’s definitely on the larger side, definitely falls short of anything that’s transformational, again, if you look at the market consolidations that are occurring. So, you see market access, you could see below the Scitor elements that reflect more again targeted, try not to buy the overlaps as we have great contract vehicles today and a prime position. So, I think we can be more selective and look at a more targeted acquisition strategy, and we’re being thoughtful about that.
Jon Raviv: And on organic sales, you are still talking about some revenue -- organic internal revenue contraction in the past -- this quarter or past couple of quarters. When do you see that actually shifting? I know you talked about low-single-digit for the full year? Do we see that start to come through next quarter or really only fiscal second half?
Tony Moraco: We’d expect to start to see it turn next quarter and then continue throughout the year.
Jon Raviv: And then, just following up on the Scitor plans, with the roughly doubling AIT cost plan for this year, you talked about facility exits. What other, what exactly else are you doing with those higher costs?
John Hartley: Yes. So, the higher costs, it’s not that we’re exiting additional facilities. So, this is the facilities we intended to exit. But there was an event that created the market of a certain area that we’re vacating for that market price to decrease. And it was, as a result of some of the consolidation that went on, there’s excess space that’s being dumped on the market, which will make the price per square foot come down, based on what some of the consolidators are doing to exit and jettison some space. And so that’s going to lower our ability as far as price to find a tenant and also it will lengthen the time it will take to find a tenant, because it is a significant amount of space in that area.
Jon Raviv: And it is actually sort of ongoing risk or do you expect to have that all complete and not have it hanging around your neck, so-to-speak, for much longer?
John Hartley: We don’t expect it to be a tremendous risk. We think the -- our estimate of what it’s going to take is reasonable and should be able to execute within that envelope. We’d love to exceed it, if possible, but again, whenever you’re dealing with real estate, there is always a little bit of risk there.
Jon Raviv: Got it. And then, sorry about this; this is final question. Still fair to see $240 million of free cash flow for this year excluding the extra pay period that gives us about 215 free cash flow this year?
John Hartley: That is a fair estimate.
Jon Raviv: And then, in light of that, if you can do 215 this year, excluding the extra payroll 240 and you talked about some of the organic growth, margin expansions. What’s the opportunity to exceed that 240 going forward as you do hit those long-term year-to-year targets?
John Hartley: Yes. As we grow, that 240 obviously will grow as well, providing that we don’t look at some high working capital business, which we don’t intend to; we intend to stay on the side of low capital upfront. And so that 240 should grow as the overall profit of the Company grows.
Operator: Moving on, we’ll take our next question from Tobey Sommer from SunTrust.
Tobey Sommer: I wondered if you could give us some update on ACV and what sort of milestones going forward, which you think about. Thank you.
Tony Moraco: On the Amphibious Combat Vehicle program, we’re cranking [ph] that up with the customer; it’s in its early phases, as we go forward. The deliveries between long lead items are working with their suppliers, establishing that baseline. It’s on track for what we need to do on the milestone. As you know, there is a number of prototype units, so will get delivered in phases. So, I think it’s on track. Moving forward, we’re working off synergies that exist with the Assault Amphibious Vehicle program. So, we’re taking advantage of that where possible. But overall, working closely with the Marine Corps on meeting the milestones that are in place.
Tobey Sommer: Tony, you mentioned the USCYBERCOM contract maybe being one of the principal contracting vehicles over a longer period of time. Is that to say that over time the contract ceiling value is likely to be increased as a customer applies more capital to more spend to that vehicle?
Tony Moraco: It’s possible. It’s a little early to tell how the command will move their money through. We’ll see that through the task order volumes and their distribution of those funds. But odds are that releasing those other customers on large vehicles as it becomes more utilized, then they have the ability to increase those ceilings limits when they book the program.
Tobey Sommer: And on Scitor, when do we lap the impact of the small business set aside?
Tony Moraco: I’m not sure when that occurs. That’s not unique to the intelligence community; it’s happening in various segments. I think the air force, maybe wants those services has been pretty aggressive there as far as its utility, the government’s going through their acquisition reforms. We’re working closely with them to influence a balance between large and small, so that they get the actual service delivery that they require as opposed to trying to meet small business criteria. That’s just in partnership with them, in partnership with the small businesses; it’s not unique to the IC, intelligence community or that portfolio. I think it’s just one of the market conditions that we continue to navigate. I wouldn't say it's improving or declining; it's about the same and it's broader than what would affect the legacy business?
Operator: Moving on, we will take our next question from Edward Caso from Wells Fargo.
Edward Caso: Can you break up your business sort of mission operations versus IT and sort of which group is growing better than the other?
Tony Moraco: Generally, the split is mission engineering work is about 60-40 with the enterprise IT work overall; that's kind of the two major elements across the service lines and the customer groups. The business overall fits into those two buckets. There is growth in both and same market dynamics. I think we've seen enterprise IT expanding, given the cyber threats and cyber security components in one dimension and the constant cost efficiencies, the government seeks in data center migrations to try and virtualize some of their networks and the like. So, I think we're going to see across DOD and federal civilians, enterprise IT initiatives continue. Yes, the mission engineering also has these opportunities as we think about the global threats. Weapon system upgrade, modernization programs that we're well positioned for; modernization sustainment as well as the broad range of training and simulation services to maintain readiness for the force. So I’d say, it's kind of balanced between the two but that 60-40 split but market opportunity exist in both areas.
Edward Caso: Great, thanks. During our bus tour last week, we heard several times the clients were starting to move away from cost plus here, I guess we're already starting to move away low price, technically acceptable but that was a new data point for us. Are you saying that this move away from cost plus to more T&M and fixed price?
Tony Moraco: I think at this point, there is still growing desire to move away from cost plus fixed price, perhaps the fixed fee to fixed price. We haven't seen much movements to T&M, the time and materials overall. We're still looking at the customers wanting to buy outcomes as opposed to hours, labor hours alone. So, I'd say there is a modest shift and it task to do more fixed price, shift the risk to private sector as they seek more innovative solutions on the technology side. So, I think there is a movement to think about an outcome what is that they desire, what private sector supports those delivery of systems, then the government buy and labor, and then looking to apply that resources within organic asset base. So, a modest shift to your viewpoint, we're seeing some again modest movement away from LPTA, to much more of best value conversations driven by I think the stronger alignment on requirements definitions and more clarity on the evaluation criteria that they’re using on their business.
Edward Caso: We also take out that contract duration is starting to extend again, is that what you're saying and does it differ by the various client bases?
Tony Moraco: There is some variability amongst the client base but I think it's been fairly consistent. And that overall contract awards in the five-year time frame option or base year or two with some option years. So, maybe we're seeing that early commitment, instead of one year, maybe it's a two-year, base, may be a directional. But the option years I think will continue to flow on an annual basis. So, I think it's in that same ballpark. Some contracts longer term IT; we're seeing maybe some stretch beyond five do realize that those are large transformational and longer duration programs. So we are seeing some within the IT domain. [Technical Difficulty] And that should be the entirety of it.
Unidentified Analyst: And I’d also like to jump back to the CYBERCOM contract for a second, do you have any task orders that have been issued I heard that Vencore got one and from an unreliable source, I suppose -- to be determined of the reliable source, I heard that you got one as well. So, is that true or is it premature?
Tony Moraco: It’s a little early but we -- they did word one task order as far as the overall release and that went to Vencore.
Unidentified Analyst: Okay, but nothing to you guys yet. And then, Tony, I’d like to ask you a follow-up on the comments you made about M&A and you mentioned market access and capabilities are two things that are you are interested in. Are there any particular holes in terms of capabilities or areas that are specifically what would be interesting to you? And kind of the same question on market access. Is there any particular agency or entity where you’re really keen to get into?
Tony Moraco: As we talked before, the air force has opportunities whether be in some of the unmanned systems domains, it’s a pretty modest part of our portfolio at scale, we’d like to run those businesses, the market access is close to $1 billion. So, we look to fill contract vehicles on market access to make that bill. The federal civilian marketplace is very fragmented, still see expansion opportunities, again whether it be in public sector health areas, critical infrastructure, areas around other parts of the security infrastructure, physical security, VHS and the like. So, I’d say there is broader expansion market access, given the fragmentation in fed-civ that would potentially be attractive from an M&A perspective to fill hole and get the market faster than from an organic point.
Operator: At this time, that will conclude our question-and-answer session. I’d like to turn the conference back over to Paul Levi for any additional or closing remarks.
Paul Levi: Thank you very much. I’d like to thank you all for your interest in SAIC and participating in today’s call. Please have a good day.
Operator: Thank you. That will conclude today’s conference. We thank everyone for their participation.